Operator: Welcome to the First Horizon National Corporation Second Quarter 2015 Earnings Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Aarti Bowman, Investor Relations. Please go ahead.
Aarti Bowman: Thank you, Amy. Please note that the earnings release, financial supplement and slide presentation we'll use in this call this morning are posted on the Investor Relations section of our website at www.firsthorizon.com. In this call, we will mention forward-looking and non-GAAP information. Actual results may differ from the forward-looking information for a number of reasons outlined in our earnings announcement materials and in our most annual and quarterly reports. Our forward-looking statements reflect our views today and we are not obligated to update them. The non-GAAP information is identified as such in our earnings announcement materials and in the slide presentation for this call, and is reconciled to GAAP information in these materials. Also, please remember that this webcast on our website is the only authorized record of this call. This morning's speakers include our CEO, Bryan Jordan and our CFO, BJ Losch. Additionally, our Chief Credit Officer, Susan Springfield, will be available with Bryan and BJ for questions. I'll now turn it over to Bryan.
Bryan Jordan: Thank you, Aarti. Good morning, everyone. I hope you’re all doing well. I'm very pleased with the progress that we saw in the second quarter of this year. As you know, we've been working for a number of years to reposition the company, focusing on the bonefish, and return on equity, and we continue to see good progress there. In the quarter, we saw solid loan growth, which led to solid revenue growth. We continue to remain focused on expense control, and our credit quality continues to look very, very good. So I'm pleased with the momentum that we have, as we start into the second half of 2015. As you know, interest rates are a big variable for the industry, and it looks like we’re getting closer to the point where we’ll see liftoff from the fed. BJ, I’m sure, will talk more about expectations around margin. We did see some improvement in the quarter. So all in all, I'm pleased with the quarter, I'm pleased with the progress we see headed into the second half of the third quarter. And with that, I'll turn it over to BJ to walk through more specifics on the numbers.
BJ Losch: Great. Thanks, Bryan and good morning to everybody. I'll start really on slide six. You can see for the second quarter, our net income available to common shareholders was $51 million or $0.22 a share compared to the loss of $0.33 a share in the first. You will remember that our first quarter results included the pre-tax charge related to a resolution of a DoJ/HUD matter. So if you adjust 1Q15 for that settlement, we were probably in the $0.18 or so range. In 2Q15, we did not have any notable items, and there are few things that I think you're going to see through the rest of the slides that I think we're pretty proud of. One is, our operating leverage, our revenue versus expense growth was again positive on a linked quarter and a year-over-year basis, driven by very strong balance sheet growth and resulting revenue growth. Our credit quality remains very solid with loan loss provision of $2 million and net charge-offs in aggregate of $9 million or about 21 basis points. You'll notice while the expenses look relatively higher than expected in the quarter, there were several smaller items that contributed to this, and we still see expense discipline evident across the Company. Slide 7 shows an overview of our segment highlights, but let's just go straight to some more detail on our core businesses over the next few slides. To start with the regional bank on slide 8, our regional bank performance continued its momentum, and we're again pleased with the results this quarter. Pre-provision net revenue was $88 million, up 11% linked quarter and up 7% year-over-year. From first to second quarter, net interest income increased 7%, largely driven by higher commercial loan volume and an increase in loan fee collections as well as cash basis income. Linked quarter, our non-interest income was up 10% in the bank, primarily due to a seasonal rebound in NSF fees, but all of our regional bank fee-based business line showed steady to higher results. For instance, our brokerage fees were up 9% and our trust income grew 11% as we saw improving activity in these areas in the quarter as well. You'll see in the bank, our loan loss provision increased to $17 million in the second quarter compared to $5 million in the first. Though net charge offs remain historically low at $10 million for the quarter, the provision increase was driven by the strong loan growth that we saw, a continued extension of the loss emergence period assumption on commercial loans, and an increase in the reserve for a single credit related to fraud, overall though we believe our credit trends in the bank continue to be stable. Expenses were up in the bank, 6% linked quarter from higher personnel costs from investing in our growth markets as well as adjusting incentive compensation to retain talent along with other various line items. Despite this increase, linked quarter, overall expense discipline again remains solid in the bank. Taking a look at the regional bank balance sheet on slide 9, we continue to see broad based relationship growth across various lines of business and markets, particularly in our more economically profitable areas. Overall, average loans were up 6% linked quarter and up 16% year-over-year. Linked quarter, we had a 55% increase in average loans to mortgage companies with strong purchase and refi volume flowing through our balance sheet. Average commercial real estate loans grew 5% with increases across our markets in multifamily, hospitality, retail, and other property types such as student housing and assisted living facilities. Additionally, CRE borrowers continued to fund up on prior commitments. Asset base lending was up 2% linked quarter, primarily from consumer finance and factory. And commercial loans, excluding loans to mortgage companies in aggregate grew 3% linked quarter and 13% year-over-year. We still see pricing and underwriting remaining competitive. Our net interest spread declined only 2 basis points and 3 basis points in loan yield, which was somewhat mitigated by modestly lower deposit costs. Our bankers continued to do a great job of focusing on economically profitable loans, while winning relationship with our calling efforts, product capabilities, and our balance sheet capacity. And even with this impressive growth, we’re still being disciplined about our risk and return profiling when we extend credit. While fundings were again strong in the quarter, we’re pleased to see that our pipeline looks to remain solid for the remainder of the year. Turning to FTN Financial, and our fixed income business on slide 10, net income in fixed income was $6 million in the second quarter. Our average daily revenues were $729,000 compared to $877,000 in the first. Our second quarter ADR reflected generally lower flows across the various desks, though on a year-over-year basis, all desks have seen increases. Our expenses decreased 6% linked quarter, reflecting lower variable compensation, and for the first half of the year, in aggregate, our fixed income product average daily revenue was about $800,000, and we are currently expecting that the second half of the year would be in a similar range. Turning to the overall balance sheet margin trends on slide 11, linked quarter, you will see net interest income was up 6% due to the increase in commercial loans, higher loan fees, and cash basis income as well as more days in the quarter. Factors were somewhat offset by a decline in commercial loan yields, and our net interest margin was 292, up 18 basis points from the first quarter. As you can see, most of the increase was driven by lower level of excess cash as we were able to deploy most of our excess liquidity into loan growth. We feel good about the strength of our balance sheet, and believe we are well-positioned for an eventual rate raise. Benefit of our asset sensitivity will depend on the timing and nature of that rate rise. We've previously given our rate sensitivity analysis in 100 and 200 basis point increases that we’ve now added for your convenience and information on the more likely scenarios of a gradual rate rise. 25 basis point increase, you will see net interest income go up roughly 3% and a 50 basis point rise about 4%. Our beta assumptions for deposits remain generally the same as we've discussed previously. Turning to slide 12, we continue focus on efficiency efforts to optimize our expense base over the next 18 to 24 months. We continue to streamline processes and manage our core real estate. In the second quarter, we sold the building associated with our nonstrategic business and we've reduced square footage per FTE by about 24% from last year to this year. We continue to right-size our branch network with fewer financial centers with minimal customer attrition. As we've discussed, we will continue to find efficiencies in appropriate areas, but we are also investing for growth, in digital capabilities, in our growth markets and then our talent. In the second quarter, we continue to make strategic hires particularly in Nashville and Houston and we enhanced our compensation plan for some top producers. Turning to asset quality on slide 13, linked quarter credit trends remained stable. Net charge-offs were essentially flat and loan loss reserve decreased modestly. The nonstrategic segment had a provision credit of $15 million reflecting favorable delinquency trends and continued run-off of balances. We actually saw net recoveries of $1.3 million in nonstrategic in the quarter. Linked quarter average loans in the nonstrategic portfolio declined 5%, it was down 18% year-over-year and represent just less than 14% of our overall loan book now. Positive economic trends such as lower unemployment and a rebound in housing has continued to help performance in the home equity portfolio as has our proactive outreach to customers entering the repayment phase. Wrapping up on slides 14 and 15, we are making progress towards bonefish targets as the moment of core businesses improves with strong loan growth in the bank and steady performance from our fixed income business. At the same time our nonstrategic portfolio continues to wind-down as expected. Our bonefish building blocks on slide 16 show our path to our long-term goals. Second quarter's return on tangible common equity was at 10.4. When we started discussing this building block slide, our ROTCE was about 8%, so we've already seen some good improvement here. Though we have significant upside to rising rates, hope is not our strategy for improving our returns. We have plenty of controllable opportunities to improve our profitability. We continue to find efficiencies in non-core areas. We're clearly taking advantage of profitable growth opportunities in our specialty businesses and higher growth markets and are focused on economic profit it's having a big impact. In fact, our economic profit in the regional bank is up nearly 30% since 2013 driven by a much better and more granular understanding of the profitability of our business lines, products and customers, down through the organization and related enhancements to reporting and incentive plans aligned with our economic profit objectives. We think that our focus here will continue to provide meaningful business performance advantages over the time. With that, I'll turn it back over to Bryan.
Bryan Jordan: Thank you, BJ. It's still an extraordinarily competitive environment out there and folks are working out hard to win every deal that we have the opportunity to win. And as BJ said, we’re doing with a strong focus on improvement in our returns in the business end and the dedication to balancing the risk that we take with the return that we generate for our shareholders and positioning the franchise for long-term improved returns and shareholder stock price performance. I’m pleased with what our team is doing. Our fixed income business has been steady. We see very good momentum in our pipelines and growth in the banking business. We’re maintaining credit quality; we’re focused on in controlling our expenses and improving results. And we’re looking forward to a solid second half of the year. Thank you to all of the first horizon folks that are serving customers every day. And with that operator, we’ll now open it up for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jefferson Harralson at KBW.
Jefferson Harralson: Hi, thanks, good morning.
Bryan Jordan: Good morning, Jeff.
Jefferson Harralson: I was going to ask about now with the FHA had case settled, should we see significant increase in expenses in the third quarter or how should we think about the expense savings from that settlement?
BJ Losch: Hey, Jefferson, good morning, it’s BJ. Legal costs, first half of last year to this I think are down over 25%. So, you’ve seen a little of it, but as you might imagine when bills come in and such, it can be a little lumpy quarter-to-quarter, and we saw little bit of an uptick this quarter from the settlement in related bills for that. So, I think you should expect and continue to expect that legal costs will continue to come down from here as we clean up the bills from them.
Jefferson Harralson: All right, and my follow-up is, it looks like from your releases that you’re equally as asset sensitive as were before, but you also had a lot of loan growth, can you just -- outside the new disclosure, can you talk about the -- how your asset sensitivity changed quarter-to-quarter?
BJ Losch: Yeah, there wasn’t a ton of asset sensitivity change I’d say in the quarter. There is not much difference that we are doing to manage the asset sensitivity. We haven’t shifted our focus really much at all in terms of fixed versus floating loans or using swaps or building the securities portfolio or anything like that. So, we are anticipating hopefully a start to the rise in rates later this year, and so, we’re trying to prepare for that and as you can see I think we’re well prepared to take advantage of it.
Bryan Jordan: Jefferson, this is Bryan, I’ll add. I think it’s really important that we emphasize what DJ just described. We are staying focused on managing our asset sensitivity like we have been in the past several years. We’re not extending the balance sheet and taking additional interest rate risk or reducing our asset sensitivity by a looking forward duration and yield as we get closer and closer to rates taking off. It’s not clear that the bid will do anything this year. The language seems to indicate that there is a stronger or some possibility of that, and so you noted the additional disclosures. I think what DJ crafted there wasn’t a very good attempt to sort of show you some of the interim steps between zero and a 200-basis point rise, because I think everybody’s expectation is that if rates do start to go up, that those rates are going to be fairly measured and fairly gradual steps over the next several quarters to years in our likelihood. So, we just try to create some additional information that would give you some interim steps between zero and a 200 basis point mode.
Jefferson Harralson: Okay. Thanks guys.
Bryan Jordan: Thank you.
Operator: The next question is from Steven Alexopoulos of JPMorgan.
Bryan Jordan: Good morning, Steve.
Steven Alexopoulos: Good morning everybody. BJ, I’m going to apologize at advance, but I missed your commentary on the margin. I joined the call little late. Can you repeat that what your outlook was for the NIM in the back half?
BJ Losch: Sorry, could you ask that again, Steve? Apologize.
Steven Alexopoulos: Could you repeat what the margin outlook was for the second half?
BJ Losch: Sure, yeah, I don’t think I necessarily talked about it when I was going through the numbers, but clearly we had a strong quarter on the margin. We’ve put a significant amount of the excess balances towards [technical difficulty] think I am coming back into NII as well as the volumes. So we had a lot of things hitting on all cylinders this quarter. Loans to mortgage companies too was certainly a big driver of the increase in loan yields from the commercial loan volume. I think we had $1.6 billion or so of average balances for the quarter on that business. We expect that to seasonally come back to us in the third quarter and then probably more in the fourth as we would expect. And so that’s probably three or four basis points of outperformance that we think will probably come back to us. Depending on what we see for loan growth for rest of the year, which we would expect based on our pipelines to remain pretty solid and steady, we think the margin is probably more in the mid-280 range given that come back on loans to mortgage companies and a little bit of fluctuation in excess cash balances.
Steven Alexopoulos: That’s very helpful. Thanks BJ. Bryan, on the fixed income business, given – I know, it’s early in the quarter, but we have had a good spike involved related to Greece. Have you had many $1 million days in the cap markets business so far? And maybe just –
Bryan Jordan: No, we haven’t had many $1 million days, but half a month is a trend either, but given that average daily revenue was up slightly in the third quarter from where it was in the second quarter. But if you look at the second quarter, second quarter started off pretty strong, it tailed off towards the end as you got some of the discussions around Greece and the uncertainty there. We are optimistic, Steve that we are going to be in a range here, I don’t think it’s going to vary widely on an average daily volume or revenue over the quarter very much and where it has been the last couple of quarters. But we think we are at a range that’s probably a little bit better than we were in 2014, and as rates start to move up, we think that we can continue to be pretty steady in that business, particularly as you get some of this volatility and backup in the loan term rights that give those buyers an opportunity to come into the market and do some things. So that’s a long way of saying, not many $1 million days, but slightly better than where we were in the second quarter.
Steven Alexopoulos: Okay, got you. And then Bryan or BJ, a final question. If we look at slide 7 that $0.07 quarterly drag coming from the corporate segment, is there room to work that drag down or is that basically just what we should consider a normal run rate?
BJ Losch: I think -- it’s BJ. I think what’s in our corporate is on the revenue side of the securities portfolio and if you think about us go on and get into the mechanics of funds transfer, pricing et cetera. But if you look in the financial supplement, there is actually negative net interest income as we manage interest rate risk and hold the segments, the regional bank segment kind of harmless for that interest rate risk. So that’s a large driver. The rest of it is more of corporate overhead type expenses, infrastructure expenses, institutional type expenses and on those things, absolutely we continue to work those down. Those are things that are not as core to producing revenue and profit and so that’s an area that we continue to look for efficiency in.
Operator: Our next question comes from Emlen Harmon at Jefferies.
Bryan Jordan: Good morning, Emlen.
Emlen Harmon: Hey, good morning guys. How are you?
Bryan Jordan: Good.
Emlen Harmon: I wanted to hit on the commercial – go a little deep on the commercial loan yields, those are up nicely on the quarter, 10 basis points. It sounds like maybe a portion of that is related to the mortgage warehouse growth on average. Will just be curious if there is place out you’re finding better yields and then just also how much was related to loan fees this quarter?
Bryan Jordan: Yeah. So I think our loan to mortgage company business is clearly our highest yielding business. It usually averages anywhere from 4.25 let's say up to 4.50 in average loan yields. So when we have seasonal upticks like we saw here, it has a disproportionate impact. So we’re pleased with that. Core C&I is pretty tight. If you’ve got a solid credit, you're going to have a lot of pricing and underwriting competition as we've talked about previously. So there is not a ton of room there, where we do think that we have a competitive advantage and why we focus on it, is some of our specialty businesses. We think we get pretty good pricing in our asset-based lending business. We think that we get pretty good pricing in pockets of our commercial real estate business. We get pretty good pricing in parts of our correspondent lending business. So those are places where we look for niches, where the risk-adjusted returns on making loans there are favorable to us. So, Susan would you add anything?
Susan Springfield: Yes. This is Susan, Emlen. I would echo what BJ said. We are still seeing some -- lot of competition on pricing, but our bankers remain very disciplined and we’re seeing the credit quality associated with the new business that we’re bringing in and very good, average grades are improving, continue to improve, so the risk-adjusted return, we still believe, it’s very solid.
Bryan Jordan: Emlen, this is Bryan. I'll pick up on as well. We do a lot of work, as you just conclude, focusing on rigorous pricing models and as Susan referenced probability of the default, things of that nature. And we also try to gather as much market data as we can from third-party sources and compare what we're doing vis-a-vis our larger competitors in the marketplace as best we can. And we recognize that’s a rearview mirror view of the world, because it’s historical, three, six, two, three, six months old. But we think we’re doing a pretty good job on pricing and balancing risks and as BJ alluded in his comments earlier, we’re seeing improving returns in our lending businesses by the focus that our bankers are putting on it. The other point that I would make and you highlighted the impact of mortgage warehouse financing and the impact on the margin that that has and net interest income based on the yields on that portfolio. That's a business that we recognize has more inherent volatility and outstandings is driven refinance activity and purchase activity, which has seasonal nature to it as well as interest rate nature to it and so we recognize that there are going to be ups and there are going to be downs and we’re in a period where we've had a couple of very good quarters, but we like the business a lot, we’re willing to accept a little bit ups and downs, because we think it has very attractive profitability and return dynamics to it. We've got a great group of bankers who do a good job growing in that business and so as you said, that had some positive impact on loan yields this quarter, it can be in the next quarter, because it's down a little bit, it brings the average down, but on the whole, I think, our bankers are doing a really good job of trying to manage the returns and the business with the competitive nature of what's going on in the marketplace and balancing risk and returns. Overall, we're very pleased with what we see.
Emlen Harmon: Got it. Thank you. And then I noticed you guys released 15 million of reserves on the non-strategic book. Was there a particular portfolio that drove that? I'm guessing consumer real estate being the largest component, it’s probably the bulk of it, but is there a particular portfolio that drove the majority of the release and just kind of what you are seeing differently about credit performance there or reserve needs that are allowing you to get a little bit more aggressive releasing reserves?
Susan Springfield: Emlen, it's Susan. Yes, we've seen improved performance in the home equity book and non-strategic, even those entering repayments, we’ve continued to see lot of work, delinquency and lower charge-offs in that portfolio. We've also had a run-off -- continued run-off in home equity portfolio. With improving home prices and stable economy, we were able to release those reserves in the non-strategic book.
Bryan Jordan: Susan, if I remember the numbers right, I think we actually had a small net recovery in the non-strategic consumer real estate as far as I remember.
Susan Springfield: We did.
Emlen Harmon: And is there an opportunity I guess for additional credit leverage there as we think out over the next year or so?
Susan Springfield: I think there could be if we continue to see the run-off that we've seen which is, as you look we've had a really good run-off the last four to six quarters and we expect that to continue, and we've again seen several quarters where both charge-off and delinquency on home equity entering repayment has come down.
Bryan Jordan: Yes, as BJ pointed out earlier, we're down about 18% year-over-year, our credit quality and FICO scores continue to look good, performances has been good and we still have pretty healthy reserves allocated against that portfolio. So, as we've seen more of this progression from the revolving period to the amortization phase and get more comfortable there is an opportunity for better leverage there, credit there.
Operator: Our next question comes from Ebrahim Poonawala at Merrill Lynch.
Ebrahim Poonawala: Good morning guys.
Bryan Jordan: Good morning.
Susan Springfield: Good morning.
Ebrahim Poonawala: BJ, just had a follow-up question on expenses, I heard you on the legal expense that should go down, but outside of that means, you guys are obviously making a lot of investments from tech and new markets. How should we be thinking about the expense run rate relative to the sort of the $280 million number in the second quarter?
BJ Losch: I think, I mentioned in some of my opening comments that there were several various items in there, some of which were timing that kind of hit in the quarter, I still feel very good about our expense discipline across the Company, I still feel good about over the next 12 to 24 months, taking expenses out -- net expenses out of the organization. But I think probably a good run rate for the second half of the year is probably in the $215 million range for the quarter, something like that is what I would expect and that depends on, how strong fixed income revenues would be.
Ebrahim Poonawala: That's helpful. And secondly, I guess Bryan, if you can just sort of remind us about capital deployment priorities, obviously the stocks had a good run year-to-date and I'm just wondering, as you sort of look out both from organic and inorganic standpoint, do you see potential now that with the legal sort of hot settlement behind you in terms of looking being more active on the M&A front and being able to pick up a whole bank deal in some of the newer markets that you have gone into.
Bryan Jordan: Yeah, yeah, capital deployment is still one of our primary focuses, we're focused on returns, that's one of the key levers to that and so we do focus a lot on it. Given that we're still in the process of completing the merger with TrustAtlantic and our inability to buy back stock during the period from – mainly [ph] of the proxy essentially to the closing, we've had capital buildup just ever so slightly. Some of that has been offset by what would be our number one priority which we continue to fund profitable organic growth in our existing franchise and continue to build out our markets here in Tennessee, in Mid-Atlantic and the beginnings of growth were we're starting to see in Houston. So we want to invest organically, we will continue to opportunistically use the repurchase program once we get the TrustAtlantic merger completed to use that program to continue to redeploy capital by putting it back in shareholders' hands where we can’t [ph] probably use it in the business. And we will continue to look for opportunities to grow by building down our franchise, over the course of the last year in fact, and it has some impact on your earlier question about expenses, we acquired the 13 branches from Bank of America, TrustAtlantic will have some impact on expenses as well, so we pulled off a too small but very targeted fill-in acquisitions in markets that we think are important and we'll continue to look for that. We do think that smartly priced and well executed M&A is still a great way for us to put capital to work in the organization and do it in a way that allows us to leverage our expense base and does it in a way that allows us to build our franchise for long-term profitability. And then the last point I would make is, we like everybody else in less than $10 billion to $50 billion range, less than $50 billion have sort of completed the DFAST process in the first public cycle and made those disclosures. And in our stress testing, you see the results of us running the scenarios, in particular, the adverse scenario and we continue to believe that we have a significant amount of capital that can be redeployed in any of these vehicles and that over the long term that we opted to work towards sort of 8% to 9% what we call a common equity tier 1 now. The ratios are changing names too fast for me, but and sort of in that 8% to 9% ratio where we are 10.4% today. So that's a -- I think we have all the leverage available to us. We think they are all important and we continue to evaluate them all at various points in time. It's definitely based on the opportunities that are in front of us.
Ebrahim Poonawala: That is very helpful and comprehensive. Thank you very much.
Operator: The next question comes from Jennifer Demba at SunTrust Robinson Humphrey.
Jennifer Demba: Thank you. Good morning. Just curious about the geographic dispersion of your loan growth this this quarter?
Bryan Jordan: Hi, Jennifer, it's Bryan. It was fairly broad based. There is a little graphic in there that sort of shares we had very good growth in markets like Nashville and Chattanooga. We had more modest, but very solid growth in western, kind of say Memphis essentially. Mid-Atlantic would continue to be very, very steady. And we are starting to get what we think is very good traction on, very good opportunities in the Houston marketplace. So we see it being very broad based, but clearly the big driver in the specialty lines of business would have been the growth that we saw on our mortgage warehouse lending. Susan, anything you think that I left out?
Susan Springfield: No, I think Bryan covered it well. We are seeing growth in the markets that we are targeting to grow, Nashville, Mid-Atlantic and Chattanooga had some real business expansion that we are capitalizing on and then the mortgage warehouse lending business, the commercial real estate business and asset-based lending business continue to be strong for us.
Jennifer Demba: What's your stance on lending in the Texas market right now? Do you have any uncertainty on what oil prices do to the economy there and do you want an energy team there at some point?
Susan Springfield: Jennifer, we are being very cautious and the bankers that we've hired there are long term Houston Texas bankers who’ve been through cycles like this before. They are also being very prudent and cautious in terms of the types of lending we are doing, size exposures that we are taking. We do believe there is an opportunity for us to be in the energy sector. We've got a very small portfolio right now in energy. With the price correction that's occurred, we actually think it's a good term to be getting into the right borrowers to be getting into that business, but we are proceeding cautiously.
Bryan Jordan: Jennifer, this is Bryan. I want to echo Susan's comment. One, we've got a very experienced team of energy bankers and two, they have our mindset and they are cautious in what they do. And the third point is that in some ways this energy lending is a little bit like consumer real estate, commercial real estate lending in 2008-2009. If you are not overexposed to it, they are good opportunities in the marketplace to do what Susan said which is to work with very well managed organizations and do very thoughtful and very well structured and collateralized deals and such. We think it's an opportunity going in with very limited previous exposure in this space and a great team to be opportunistic and build a business in a smart way that may be an opportunistic time.
Jennifer Demba: Thanks very much.
Bryan Jordan: Sure. Thanks.
Operator: Our next question comes from Kevin Fitzsimmons at Hovde Group.
Bryan Jordan: Hovde, good morning,
Kevin Fitzsimmons: Hey, good morning, everyone. Good morning, Bryan. Most of my questions have been asked already, but just a couple of quick follow-ups. Should we look at the provision? I mean, it looks on one hand on the core portfolio was much higher than it is normally this quarter, but on the non-strategic portfolio it was -- you got big credit coming in so kind of was convenient that the two offset. But looking out going forward, I wouldn't expect that kind of a magnitude on either of those ends. Should we be looking at the last few quarters as a guide to what you guys must be providing going forward?
Susan Springfield: Kevin, I’ll take that question. We’re very comfortable with our reserves. We look at reserve adequacy, reserve models every quarter. We got a very rigorous process. Our asset quality remains excellent. We did, as we described, we did have one fraud loss in our C&R book in the regional bank that caused a portion of that increase in the provision in the regional bank along with, loan growth which was a good reason and then also lengthening of the loss emergence period. But I’m very, very pleased with the quality of loans that we have on our books and then we continue to put on our books and excellently our bankers monitor and service those loans after their book. So, I believe that our reserve levels are very good and at this point we’d not expect to see a lot of volatility.
Kevin Fitzsimmons: Okay. And just a quick follow-up on that same topic, so, the big credit taken on the non-strategic portfolio this quarter was primarily I would assume on the HELOC portfolio and you guys mentioned how housing prices have improved and economies getting better, but at the same time, we’re coming up toward rising rates. Was that a matter of debate at all or how that factors in the model but how are those HELOC loans going to perform? They’re performing well now but how they’re going to perform if all of a sudden we wake up and we’re seeing rates ratchet higher for those borrowers. Thanks.
Susan Springfield: Kevin, as it relates to the non-strategic, what we do analysis on interest rate shocks just like we do analysis on shocks as a borrower is exiting the draw period and entering repayments and actually the initial shock of the borrower exiting draw and entering repayment is the biggest shock that they’ll have is about 250% shock from a minimum payment to going into repayment. But if we’ve not -- if we’ve done interest rate shocks with 200 basis point moves and it really does -- it is not a big factor in terms of our loss modeling.
Kevin Fitzsimmons: Okay. All right, thank you.
Bryan Jordan: Thanks, Kevin.
Operator: Our next question is from Geoffrey Elliott of Autonomous Research.
Geoffrey Elliott: Hello, can you hear me?
Bryan Jordan: Yeah, good morning.
Geoffrey Elliott: I got a quick question on TrustAtlantic, it seems as if that’s taking a little bit longer to close the new originally expected. Can you discuss why that’s taking a bit longer?
Bryan Jordan: Yeah, this is Bryan. I guess we’re nine months or so since we announced it in our quiet end. The process that we’re working through is trying to gain the final regulatory approvals. We have the shareholder vote. The process takes a little bit longer and the regulatory process and the advantage you have, letters -- the common letters written from a CRA perspective, so it would take a little time to clear those up. We expect that we’ll get that wrapped up here in the third quarter and be in a position to consummate the deal sometime between now and the end of the third quarter.
Geoffrey Elliott: And does the slightly lengthier timeline kind of influence the way you think about further M&A in the future?
Bryan Jordan: It does have. Yes, it does have some influence and it adds a degree of uncertainty because the timing is not fixed. In an ideal world, when you announced an M&A transaction, you would know exactly that it can take you x months to get through the shareholder and regulatory approval process and you plan your conversion and start customer communication. So, it does introduce a degree of uncertainty. We’ll have a better sense when we see the ultimate time and how to think about future opportunities and what that means in terms of how we model and how we -- and how we think about conversion timelines and customer communication. But if there is added degree of additional uncertainty that from a preference standpoint, it won’t be there, it would be much more defined timeline that you can manage within and execute and communicate with customers and shareholders and do it all in a way that allows the regulatory of process and their objectives to be achieved and do it in a way that allows you to facilitate M&A in most efficient manner for shareholders of both organizations.
Geoffrey Elliott: Thank you.
Bryan Jordan: Thank you.
Operator: The next question comes from Christopher Marinac at FIG Partners.
Christopher Marinac : Thanks, good morning. Susan and BJ alluded to some of the commercial activity in prior questions. But I just was curious on the commercial loan yield increasing this quarter, is that something that we may see occur again in the next couple of quarters?
BJ Losch: Hey, it’s BJ. I think that’s hard in today’s environment. I think a lot of the increase in the commercial loan yield you saw this quarter was our higher yielding loans to mortgage company business. So like I think, many of us have said before, pricing is pretty tight. So generally speaking, we are putting loans on the books at close to what it’s coming off, so we’ve been able to in aggregate keep our loan yields pretty steady, but it would be a tall order to try to expand yields at this point.
Christopher Marinac: Okay. And BJ, would that shift at all if we do see one or two Fed rate moves in future quarters?
BJ Losch: Yeah, absolutely, that’s where we would see improved sensitivity capture –
Bryan Jordan: The benefits of it.
BJ Losch: The benefits of it, sure.
Christopher Marinac: Okay, fantastic. Thanks very much for the color.
Operator: Our next question comes from Eric Wasserstrom at Guggenheim Securities.
Eric Wasserstrom: Hi, thanks. Couple of quick questions here. BJ, you have been very clear about the NIM dynamic, but I just want to understand given where some of the excess NIM in the period came from. How should we consider sort of the base rate of NII dollars, should it be running around that 160 to 161 level that we have seen prior to now?
BJ Losch: Yeah, good question. I think it can be a little bit higher than that. Again, it’s going to fluctuate a little bit based on what we see with loans to mortgage companies, but I would expect it to be hopefully north of 160 and closer to the mid-160s than the lower side.
Eric Wasserstrom: Great. And just to circle back on the trading revenues for a moment, I mean, the one area of strength that I think we saw in the period from some of the larger broker dealers was in the rate product, which is where you’re concentrated, for many of them now is actually up sequentially. So I am just curious what you saw that you were down a bit?
Bryan Jordan: BJ might have more detail, Eric. We just – what we saw because we don’t have any real – we are not taking a proprietary position, we are just matching up buyers and sellers. We saw volume tail off a little bit in the quarter. At this point, I am not having time to study any of what competitors have done and so I don’t have anything useful to add in that regard.
BJ Losch: Eric, I think, generally speaking, what we are seeing is -- thank buyers are staying very short and what they buy is typically a product from us that has tighter spreads, and if you look across any of the desks with trace and the transparency across the markets, spreads continue to tighten on what we make for each bond that we cross. And so as buyers are getting shorter, we are seeing the less of the revenue from that. So we want to serve customers the way they want or stay in short and make sense to them, but we certainly see it in terms of how our revenue share [ph] is up.
Eric Wasserstrom: Great, it’s very helpful. Thanks very much.
Operator: Our next question comes from Ken Zerbe at Morgan Stanley.
Ken Zerbe: Great, thank you. Good morning. I guess if we look at the loan growth, obviously mortgage was a huge positive this quarter. But if we back out – I think it was a $600 million increase in average mortgage warehouse loans. Total loan growth, I mean, ballpark around 0.5% growth. When you look out over the next several quarters into 2016, is there anything that meaningfully changes that just given the run-off portfolio versus the growth in the regional bank, ex-mortgage of course.
BJ Losch: No, I think, like I talked about before, we have been very pleased with the replenishment of the pipeline as we have seen strong fundings and that’s not just in loans to mortgage companies that’s been fairly broad-based and so again we saw pretty strong fundings and the pipelines remain steady. So we think we can see good solid growth in the aggregate portfolio, not just alone to mortgage company for the rest of the year. So we’re pleased with what we’re seeing. I think comps get a little tougher the longer you go because we’ve had such outsized growth, double-digit growth now for three quarters at least and so it gets tough to keep that momentum, but we certainly believe that loan growth is going to remain solid for the next several quarters.
Bryan Jordan: Ken, this is Bryan. Depending on whether using averages or period end, you’re likely to get different percentages, but we look at commercial loan growth in the banking franchise year-over-year ex mortgage warehouse lending. It was up north of 10%. So we think there has been very good momentum there and as we look at pipelines as BJ said, we’re optimistic about the progress or the prospects for a pretty steady growth during the second half of this year.
Ken Zerbe: Got it. Understood. I guess I was thinking more like total, not just C&I, but understood. Your point is taken. So thank you very much.
Operator: Our last question is from John Pancari at Evercore ISI.
John Pancari: Good morning.
Bryan Jordan: Hi, John.
Susan Springfield: Good morning.
John Pancari: Just have a couple of quick questions, Bryan, you were alluding to the profitability a little while ago about the – of the mortgage warehouse business and everything in it still very attractive business for you. Can you update us what is the current ROE for that business for you guys?
BJ Losch: The ROE on that business is going to be right now in the 35%, 40% range. In ‘11, ‘12, but even when you have loan balances like we’re certain to have about half of what they are today, the business still returns us about 20% on a risk-adjusted return basis. So very efficient business, large average loan sizes, negligible losses, high yields. So as Bryan said, we’re very willing to put up with the variability of that when we see the profitability coming out of that.
Bryan Jordan: Because there is a lot of – excuse me, BJ, because there is a lot of expense leverage in the business, it's going to ebb and flow depending on what volumes do and that's one of the reasons we like it, it's got very good attractive returns, it’s got low volumes and they get really good in periods where average warehouse line size goes up significantly, because it then requires to put any additional costs into the business -- very minimal additional cost in to the business. It’s got very attractive returns and that's one of the reasons we’re willing to accept some of the volatility that it creates.
John Pancari: Okay, alright. And then secondly on the HELOC non-strategic book, what percentage of your ‘05 and ’06 vintages of HELOC’s have been refined or paid down or reworked in some fashion to address that expiration of the withdrawal period?
Susan Springfield: We've had a number of them, but we’d have to get back to you on the specifics John, on that particular vintage.
Bryan Jordan: That's where a lot of the CPR is coming from, but essentially you may remember from previous discussions on it, this portfolio that we have in non-strategic had the following basic characteristics intended to be a lower yielding portfolio, it was probably modest typically speaking and it had very high credit quality scores and what we did in the business pre-2007 is when we originated, we would securitize ourselves the higher spread product, we kept what was a greater credit quality stuff. Because of the yields on it, it didn't have a propensity to prepay early, because it was hard to match that rate in the marketplace somewhere. So as you gotten to the period of amortization or repayments, that's when you start to see prepayments start to accelerate. So a lot of the run-off that we've seen over the last couple of years is those borrowers either have a transaction on their home or they get to the point where they get into the amortization phase and we see a pickup.
Susan Springfield: And with the low interest rates available for permanent refinance, we’ve seen a number of borrowers to use that option as they’re entering or about to enter repayment.
John Pancari: Okay. Alright. That’s it for me. Thank you.
Bryan Jordan: Thank you.
Operator: At this time, I’d like to turn the conference back over to Bryan Jordan for closing remarks.
A - Bryan Jordan: Thank you. Thanks everyone for joining us this morning. We appreciate your interest in the company. As we’ve said a number of different times, we continue to be very focused on the long term objectives that we’ve laid out and the bonefish targets. We continue to stay focused on that and what is sort of an entertaining competitive operating environment. We continue to see good progress in the business and look forward to the second half of this year. If you have requests for additional information, please don’t hesitate to contact any of us or let Aarti know, and we will be happy to try to get you that information. Thank you again all our folks and thank you all for joining us. Hope you all have a great weekend.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.